Operator: Good day and welcome to the AerCap Second Quarter 2018 Financial Results Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Joseph McGinley, Head of Investor Relations, AerCap. Please go ahead.
Joseph McGinley: Thank you, operator, and hello everyone. Welcome to our second quarter 2018 conference call. With me today is our Chief Executive Officer, Aengus Kelly, and our Chief Financial Officer, Pete Juhas. Before we begin today's call, I would like to remind you that some statements made during this conference call which are not historical facts may be forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. AerCap undertakes no obligation, other than that imposed by law, to publicly update or revise any forward-looking statements to reflect future events, information, or circumstances that arise after this call. Further information concerning issues that could materially affect performance can be found in AerCap's earnings release dated July 30, 2018. A copy of the earnings release and conference call presentation are available on our Web-site at aercap.com. This call is open to the public and is being Webcast simultaneously at aercap.com and will be archived for replay. We will shortly run through our earnings presentation and we'll allow time at the end for Q&A. As a reminder, I would ask that analysts limit themselves to one question and one follow-up. I will now turn the call over to Aengus Kelly.
Aengus Kelly: Thank you, Joe. Good morning everyone. Thank you for joining us for our 2018 second quarter earnings call. I am pleased to report another quarter of strong earnings and profitability. During the quarter we generated earnings per share of $1.70 and net income of $254 million, both of which were driven by a strong underlying performance of the AerCap business. Our platform remained very active in Q2, executing 90 aircraft transactions including 17 widebody. Our utilization rate improved to 98.9% as the last of our Monarch and Air Berlin aircraft transitioned to new lessees. We continue to see robust demand for aircraft as passenger traffic continues to grow at a healthy clip. IATA reported 6.8% RPK growth for the first five months of this year, with the load factors for the month of May above 80% for the first time. And the full-year demand outlook continues to be strong at 7%. We believe there is an actual ceiling to the efficiency gains driven by higher load factors and densification, which should support future demand for new aircraft in the coming years. We took delivery of 20 aircraft in the second quarter, composed of 787-9s, A350-900s, and A320neos, and A321neos. These aircraft types are the most in demand of the new technology aircraft. The A350 recently received certification by the Chinese Aviation Authority and we expect to begin delivering A350 to our Chinese customers in the third quarter. We expect to take delivery of 50 aircraft in the second half of the year, bringing our 2018 CapEx to around $6 billion, which will drive our top line growth. Sticking with the OEMs and new aircraft, we believe that the recently announced partnership between Embraer and Boeing will enhance the competitiveness of the Embraer E2. This is because the program will benefit from both Boeing's marketing power with airlines and their ability to drive cost savings from suppliers. On the trading side, we were active sellers of mid-life and older aircraft in the quarter, disposing 30 owned aircraft with an average age of 13 years. The delivery of new technology aircraft coupled with the sales of mid-life and older aircraft has decreased our average age to 6.6 years, down from 7.3 years in June 2017. We expect this to move towards the low 6s by the end of 2020, as we deliver over 200 new technology aircraft in that timeframe. Our average remaining lease term continues to increase and is now 7.1 years, up from 6.4 years a year ago, providing us with strong visibility into the future. This long remaining lease term provides significant stability to our future earnings and cash flows. At a macro level, we continue to see a broadly healthy environment for our airline customers, notwithstanding the rise in oil prices. In the past few months oil prices have been relatively range-bound with WTI now approximately $68 to $69. However, there have been some notable moves on the FX side in certain countries, particularly in Turkey and Brazil, which has somewhat magnified the impact of oil price moves for domestic carriers in those countries. These devaluations can't however provide an inbound impetus for tourism, helping yields in those areas. More generally, while the rise in fuel prices over the past year has clearly had some impact in airlines' profitability, it has not risen to a level where we believe it will cause major problems for the airlines as it reflects a global economy that continues to do well. On the liability side of our business, we closed $2.7 billion of debt facilities in the first quarter at attractive pricing. We continued to manage our balance sheet conservatively, ending the quarter with $11.7 billion of available liquidity. We ended the quarter with a leverage ratio of 2.8-to-1, which we feel is appropriate for the business and remains within our target range of 2.7x to 3x. Our share repurchase program continued during the quarter. In Q2 we deployed over 100 million in buying our own stock. This brought the total number of shares we purchased in the first half of 2018 to almost 8 million shares for just over $400 million, and the total since June 2015 to over 72 million shares, which is 34% of the Company. We have approximately $140 million remaining from our May authorization. We will of course continue to look at the allocation of our excess capital on an ongoing basis. So, in summary, our business continues to perform well, underpinned by a strong traffic environment for our customer base. We continue to actively trade aircraft, taking advantage of our global reach, and remain proactive in placing our new aircraft deliveries. We expect to invest approximately $15 billion in new technology aircraft between now and 2020. That CapEx will be focused on the most desirable variants of the new technology aircraft. These aircraft will enhance our fleet and will position AerCap for long-term growth. With that, I will hand it over to Pete for a detailed review of our financial results.
Peter Juhas: Thanks, Gus. Good morning everyone I'll start on Slide 5 of the presentation. Our net income was $254 million for the second quarter and our diluted earnings per share was $1.70. The decrease in net income was primarily due to lower other income as well as lower gain on sale of assets compared to the second quarter of 2017. Last year, other income was higher than normal in the second quarter as a result of contractual payments related to a lease termination agreement with one of our lessees. The increase in earnings per share was primarily driven by our lower share count as we repurchased close to 25 million shares from April 2017 through June 2018. On Slide 6, as a result of our excellent operating performance and disciplined allocation of capital, over the past year our book value per share has increased 12% from $53.06 to $59.25. Our book value per share as of June 30 was impacted by the vesting of shares related to the long-term incentive plan that we put in place in 2014. We repurchased $100 million worth of stock in the second quarter, bringing our total repurchases through June 30 to around $405 million. We currently have around $140 million remaining in our existing share repurchase authorization, and as Gus mentioned, we look at allocation of our excess capital on an ongoing basis, so we'll continue to look at share repurchases and other ways to deploy excess capital over the remainder of the year. On Slide 7, our total revenue for the second quarter was $1,195 million. Our basic lease rents for the second quarter were $1,023 million. As we have seen over the past few quarters, basic lease rents decreased primarily due to the sale of mid-life and older aircraft over the past year, which improved the average age of our fleet to 6.6 years. In addition, we continued to have some impact in the quarter due to the transitioning of the remaining Air Berlin and Monarch aircraft to new lessees, which reduced basic lease rents because the aircraft had not yet been delivered to the new lessees. We expect our basic lease rents to grow in the second half of this year and through next year as our CapEx ramps up. Our maintenance revenues for the second quarter were $108 million, which was slightly higher than last year. Our net gain on sales was $51 million for the second quarter, compared to $70 million a year ago. In the second quarter we continued to sell mid-life and older aircraft at attractive prices and we continued to see strong demand from buyers of used aircraft. Our other income was $12 million for the quarter, which was a decrease from last year. This was due to the lease termination payments that we recognized in the second quarter of 2017, which led to much higher other income during that quarter. On Slide 8, our net interest margin was $734 million for the quarter and our net spread was 8.4%. The primary driver of the decrease from 2017 was the lower age of our fleet. Both of these metrics were also affected somewhat by the ongoing transitions of the Air Berlin and Monarch aircraft during the quarter, as I mentioned. Our average cost of debt was 4.1% for the quarter, an increase from 3.9% last year and 4% in the first quarter of this year. As we continue to take delivery of new technology aircraft and sell older and mid-life aircraft, we are continuing to reduce the average age of our fleet, which was 6.6 years at the end of June down from 7.3 years last year. We're also increasing the average remaining lease term of our aircraft, which was 7.1 years at the end of the second quarter, an increase from 6.4 years. As Gus mentioned, we expect the average age to decrease to below 6s. Our depreciation rate has also been coming down over time as our fleet gets younger. Our net spread less depreciation for the quarter was 3.2% compared to 3.1% for the second quarter of 2017. Slide 9, our net gain on sales was $51 million for the quarter as we sold 30 of our owned aircraft with an average age of 13 years for around $740 million. We also placed four older aircraft on long-term leases and reclassified them as finance leases. Our gain on sales margin for the quarter was around 7%. We closed this quarter with around 250 million of held-for-sale assets, which is lower than we've had over the past two quarters. So, at this point we expect our sales volume to be lower during the second half of this year. At this point I'd estimate a sales number of between $1.75 billion and $2 billion for the full year. We took delivery of 20 aircraft in the second quarter, including 15 A320 and A321neos, one A350-900, and four 787s. Our total CapEx for the quarter was $1.5 billion, making this our second highest quarter ever from a delivery standpoint in terms of both the number of aircraft and the amount of CapEx. For the full year 2018 we expect our total CapEx to be around $6 billion with 50 aircraft expected to deliver during the second half of the year. So, we are entering into a period of higher CapEx and asset growth. We expect around one-third of the remaining deliveries will occur in the third quarter and around two-thirds in the fourth quarter. This will drive our return to growth and basic lease rents. Next slide, our maintenance rights expense was $35 million for the second quarter, down from $90 million in 2017. This was driven by a lower level of maintenance activity as well as lower balance of the maintenance rights intangible asset, which has been coming down over time. The maintenance rights intangible asset has come down from approximately $2 billion in March 2017 to around $1.2 billion today. Our other leasing expenses were $68 million for the quarter, an increase from $46 million last year. This was somewhat higher than normal due to expenses related to the Air Berlin and Monarch transitions, which at this point are basically complete. Our SG&A expenses were $85 million for the quarter, basically flat over last year. And for the second half of the year, we'll see a significant decrease in our stock-based compensation expense. On Slide 11, we continue to maintain a very strong liquidity position. As of June 30, we had available liquidity of $11.7 billion, which is a record level for us as we enter into a period of higher CapEx. Together with our operating cash flows, that gives us total sources of $14.9 billion, which is 1.3x our cash needs of $11.1 billion over the next 12 months. This amounts to excess coverage of around $3.8 billion. And we ended the quarter with a debt-to-equity ratio of 2.8-to-1, which is in the middle of our target range. So, to wrap up, we had a strong second quarter, we continued to make good progress in placing our new aircraft, and we're now around 85% placed through the end of 2020. We continued to deploy our excess capital, we closed on $2.7 billion of financing, and we ended the quarter in a very strong liquidity and capital position. And we're now entering a growth phase where we expect to see our aircraft assets grow by around $2 billion by the end of this year and by over $2 billion more next year, which will drive growth in our revenues and our earnings going forward. And with that, now we'll turn it over for Q&A.
Operator: [Operator Instructions] We will now take our first question of Helane Becker of Cowen and Company. Please go ahead.
Helane Becker: Just a couple of questions. One, when you are saying, just one clarification point, $2 billion more this year in the growth phase and then $2 billion total next year, did I hear that correct?
Peter Juhas: Yes, Helane, we'll see our flight equipment grow by $2 billion during the remainder of this year and then by an additional $2 billion on top of that next year, so total $4 billion by the end of 2019.
Helane Becker: Right. So, key CapEx is 2020?
Peter Juhas: That's a net number, I'm giving you a net number, so how much our flight equipment assets will grow from now until the end of 2019. Our total CapEx for this year should be around $6 billion and next year around $5.5 billion.
Helane Becker: Got you, okay. Thanks for that clarifying point, Peter. I appreciate it. And then just one other question, in terms of demand, are there any like markets that you are noticing strong versus weaker demand and any demand from U.S. airlines or North American airlines that you are seeing? Thanks.
Aengus Kelly: The demand is fairly robust around the world. I would say that for the last year and a half or so, certainly for used airplanes, the EMEA market, European, Middle East, Africa, has led the way. But we still see solid demand out of the U.S. as well, not at the levels we saw a couple of years ago I think it's fair to say, but we still see some reasonable demand. The same out of China. You have countries that have specific issues where you may have a significant weakening of a currency, or such as I mentioned in Brazil for example, and Turkey, the demand is a little more muted there. But on a global basis, traffic is good and there is good stable demand for used aircraft and new aircraft.
Helane Becker: Great. Thanks, Gus. I appreciate your help.
Operator: We will now take our next question from Mike Linenberg of Deutsche Bank. Please go ahead.
Michael Linenberg: Two questions. With respect to the net interest margin, it's now come down to 8.4%. Obviously it's a function of mix, the planes are getting, your fleet is getting younger. You are at 6.6. I think, Gus, you indicated that over the next couple of years with the amount of CapEx and new aircraft coming in, it will be well below 6, on one hand. On the other hand, I do think that there was a piece of that that was impacted by Air Berlin and Monarch. So, I'm trying to get a feel, is the net interest margin as we think out over the next year or two, are we going to get that down to about 8% or the high-7s, but is that on a much bigger asset base, if you could just give us some color around that?
Aengus Kelly: Pete, do you want to start that?
Peter Juhas: Sure. Mike, yes, that's right. And just to clarify one thing that you said a second ago, we expect the average age to go down to about six years, but at this point not to go below six years. So it should end up around six years over 2019-2020. In terms of where the net spread will go, I think that's right, I think it will go down to about 8%, and that's consistent with what we talked about before. And that will be off a much larger asset base because as we mentioned, we'll be growing the amount of flight equipment both this year, next year and through 2020 as well.
Aengus Kelly: And Mike, it's also worth noting however that as the fleet gets younger, the depreciation rate goes down a bit too. So, as Pete referenced in his comments, our net spread less depreciation is actually slightly higher than it was 12 months ago.
Michael Linenberg: Great point, it was good you pointed that out. Second question, we now have fuel prices at least in dollar terms up 30%, 40%, some say 50% year-over-year. Obviously, those who are paying in currencies that have traded down against the dollar, they are seeing bigger increases. I know about a year over the last year or so, you were seeing pretty good uptake from carriers on renewing leases on some of the older airplanes. Have you now seen, has that pace slowed down, customers coming back to you and wishing to renew some of the older aircraft, has it been noticeable given that recent run-up in fuel prices? Any sort of anecdotes or trends that you're seeing on that front would be great. Thank you.
Aengus Kelly: Mike, overall the portfolio has them. Obviously we've done a lot of work to the portfolio over the last four years and we see pretty strong demand across the board for our portfolio right now, even with fuel at these levels. Airlines are still making money. There's a few countries that I mentioned in my prepared comments where the FX has amplified the impact of oil, and I mentioned Turkey and Brazil. But overall, no, we still see pretty strong demand. I can tell you, if we had more A320s, we could move them in the morning. The same for 737s, and they'd be the older variants.
Michael Linenberg: Great. Very helpful. Thanks gentlemen.
Operator: We will now take our next question from Gary Liebowitz of Wells Fargo. Please go ahead.
Gary Liebowitz: Gus, can you talk about any changes you've seen with regard to your ability to forward place planes into China as a result of some of the escalating tariff threats?
Aengus Kelly: Gary, we certainly continue to place airplanes. The companies that are on Boeing at the moment are more focused on Airbus, it will be fair to say. But we have seen no slowdown in the appetite for the new technology assets. We are in the middle of several campaigns in China right now. So, overall, there is a focus on the Airbus side but we don't see any overall slowdown yet. And let me say something else that's worth noting. Look, an airline cannot change its fleet in anything less than five or six years, and the cost associated with changing a fleet is enormous. So we see absolutely no evidence whatsoever of any airline contemplating and move from Boeing to Airbus because of this trade dispute.
Gary Liebowitz: Okay. Separately, I think in the past you've mentioned that you have some Airbus plans, I believe A350s that are awaiting certification from the Chinese authorities for them to enter service. Has there been any movement there and can you talk about how many planes you have waiting to go into China?
Aengus Kelly: Sure Gary. I mentioned that the A350 recently received certification by the Chinese Aviation Authority. So we expect to deliver about give or take three A350s in the coming months into China, and probably about four or five by the end of the year.
Gary Liebowitz: Okay, thanks. I'll get back in the queue.
Operator: We will now take our next question from Jason Arnold of RBC Capital Markets. Please go ahead.
Jason Arnold: I know your approach to sales has been relatively opportunistic. So I was just curious if you could comment on, gauge perhaps, how much more of the older ILFC book remains is being highly likely to be sold or any kind of further color around your views on the secondary market sales?
Aengus Kelly: Sure Jason. I think, look, we have done an awful lot of selling over the course of the last four years and the portfolio is in very good shape now. And as we said on the first quarter earnings call, we expected to do the vast majority of our aircraft sales for this year in the first half of the year, and that's the case. As Pete alluded to in his comments, we have done about 70% of our sales for the year already and the portfolio is in reasonably good shape now. We feel it's a very strong portfolio and we see strong demand for it. So I don't expect the same level of sales that we've seen over the last several years to be occurring as we go forward.
Jason Arnold: Okay. And is it safe to say that there is still plenty to prune there I guess as the opportunities arise though?
Aengus Kelly: Sure, I mean noting that everything has a price obviously. But I think you've got to be very careful about old does not mean bad and new does not mean good. An old airplane that is an A320, 737, is a highly desirable asset, probably more desirable than a brand new version of it. Same is true for 777. And new aircraft are not always as desirable either. So, you need to make sure that you're focusing your portfolio on those aircraft that the market wants, and we are extremely focused on how we develop the portfolio, and we feel that at the moment the portfolio is in high demand across the board.
Jason Arnold: Excellent. Thanks for that color. And then just as a follow up, any updated views on the A320, any change of perspective on these aircraft after the recent going ons?
Aengus Kelly: Based on the neos?
Jason Arnold: The C-Series, the new C-Series A320.
Aengus Kelly: Oh, the C-Series, excuse me, sorry, yes. I mean, look, of course the C-Series now being part of the A320 family has definitely made us a more formidable competitor than it was before. Having said that, as I said in my prepared comments, the fact that Boeing has now taken over the Embraer program means that it's on an equal footing. We do think that the fact that Boeing and Airbus have bought both of these programs validates the aircraft tide and it will certainly propel sales in the future.
Jason Arnold: Okay, super. Thanks very much for the color.
Operator: We will now take our next question from Rajeev Lalwani of Morgan Stanley. Please go ahead.
Rajeev Lalwani: Just, Gus, I wanted to follow up, you made a comment earlier in regard to a question around trades are just more focused on the Airbus side. Is that a focus from AerCap on the Airbus side or are you saying customers are more interested on the Asia side in Airbus over Boeing?
Aengus Kelly: Look, I think at the moment in China we see continued activity for new airplanes as I said. At the moment most of the campaigns are around Airbus equipment but they are Airbus carriers. I want to be very clear, we don't see any evidence of Boeing customers because of the trade dispute switching to Airbus.
Rajeev Lalwani: Thanks. That's helpful. And then as it relates to delays and engine issues with the neos and 787s, et cetera, what's the latest there and overall the impact to AerCap?
Aengus Kelly: So, again, we expect to take delivery of approximately 50 airplanes by the end of the year. That's our best estimate at the moment. It could have moved by one or two airplanes short of quote, but I don't think it will move by a material amount. I think certainly Pratt & Whitney have certainly got through the worst of us and the Rolls issues relate to the Package C engine, and the engines that are being delivered at the moment are the TENs and they are doing fine. So, I would say that the Pratt & Whitney stuff are the one that we're most focused on. But things seem to be through the worst of it, and it's worth noting that there is strong demand for that airplane and that engine and we see strong demand across the world. The fuel burn is excellent, as is the CFM product as well. But we are seeing 17% fuel burn improvements on the 321 variant, which is much higher than expected. Now Pratt & Whitney of course have to make sure they work on the reliability, but they are making progress on that. But the fuel burn, particularly on the 321, you can get it up for four or five hour missions, then it really does generate very big savings.
Operator: We will now take our next question from Moshe Orenbuch of Credit Suisse. Please go ahead. Your line is now open.
Moshe Orenbuch: Could you talk a little bit about your thoughts on leverage, given the improvement in both the age of the fleet as well as the length of the lease term, does that have any impact on your thoughts about where you would want to be either within your range or the range itself?
Aengus Kelly: Pete, do you want to take that one?
Peter Juhas: Sure. So, Moshe, as you know, we have targeted a range of 2.7 to 3-to-1 and we generally run somewhere in the middle of that range. We do think that what we've been doing to the fleet in terms of reducing the average age, taking the proportion of new technology aircraft up, is a big credit positive. And so, we will look to see some benefit from that hopefully from the rating agencies. I think in terms of where we target though in terms of our range, we're going to stay with our 2.7 to 3-to-1.
Moshe Orenbuch: Got it. And kind of as a follow-up question, the competitive environment and its impact on lease rates, as you are kind of looking at that, there's I think some more of your larger competitors are going through more renewals in the latter part of this year and into 2019, any thoughts as to how the lease rates are kind of coming out?
Aengus Kelly: We haven't seen much of a change. And asset interest rates of course over the course of the last year, particularly in the second hand markets for good used airplanes, there's been very robust demand, and on the neos, as people get them into service and the 78s, there is very strong demand for them at the moment, we haven't seen much of an impact in terms of lease rates over the last year. So, maybe a few percentage points, but that's tiny, it's only a couple of grand here or there. So we don't see much of an impact as yet there.
Moshe Orenbuch: Great. Thanks so much.
Operator: We will now take our next question from Vincent Caintic of Stephens. Please go ahead.
Vincent Caintic: Thanks for the forward color on the net spread going to 8% over time. I was actually wondering if you could break that out by the components of the lease yields and the funding costs. Interest rates are rising and the net spread is already at 8.4%. So, would you say maybe that the compression further from here is maybe on the funding cost side or should we expect more yield compression with the average age already at 6.6 and I think only going to low-6s? And also separately, give us idea of depreciation rate going forward. Thanks.
Peter Juhas: Sure Vincent. So, most of that is coming from on the lease rate factor side, just given the age of the fleet. That's the bigger impact. On the interest rate side, obviously we've seen rate tick up a little bit, but if I look at it for this year, I think our average interest cost will be 4.1%. That's all in obviously, so that includes debt issuance cost and all those things, an impact of all of that. But I think that's probably 4.1%. And then that may climb a little bit over the next couple of years, but you have to remember, it's only a small portion rolling in. So it takes pretty long for that to have a significant impact. And at the same time, as you mentioned, the depreciation rate will be coming down. So this year I'd say probably around 5.3% for the year and that will tick down in 2019 and 2020 as well as the fleet gets younger.
Aengus Kelly: It is worth mentioning, our interest expense that we quote is a fully loaded interest expense. We include the coupon, we include undrawn fees for the amount of liquidity we hold, we include upfront fees that are associated with that ranging debt, and we also include if there is any discount on issuance of the debt, that's also included. So it's a fully loaded fee, not just the coupon that we show, because that is the true cost of debt that how much it costs you to actually issue it.
Vincent Caintic: Okay, perfect. And one more question, if we could talk about the buyback program, maybe if you could give us an expectation for the full year? I know you have 140 million remaining. And then also just noticed that the shares outstanding increased quarter-over-quarter, so the second quarter was higher than first quarter, if you could just explain that as well? Thanks so much.
Aengus Kelly: Sure. Let me start with the buyback and then I'll let Pete talk about the share count. So look, obviously we continue to buy shares. We deployed 100 million in the second quarter and 400 million overall. If you go back to when you asked about guidance in the Investor Day last November, start of December, we said we'll deploy 700 million. We have done 500 million of that because we put 100 million away for work in December. So we have done 500 million of that already. We have 140 million of our existing program. And as we generate excess capital, I mean look at the alternatives, we still believe that the share buy is an extremely compelling alternative, and as we generate excess capital, we will look very hard at using it for the share buyback program. Of course you have to bear in mind that we do have CapEx of $15 billion, which will drive book value per share, which will drive net income, which will drive top line growth coming out of over the course of the next 2.5 years.
Peter Juhas: And on the second half of your question, Vincent, so the share count increased during the quarter and that was really due to we had shares vesting in May. This was due, I mentioned it in my prepared remarks, so this was the program that was been placed four years ago in connection with ILFC acquisition. So those shares were four year cliff vesting and most of them came due in May this year. And so you saw some additional shares come in during the quarter.
Vincent Caintic: Great. Thanks very much.
Operator: We will now take our next question from Kevin Crissey of Citi. Please go ahead.
Kevin Crissey: A quick question was related to why is this the time to be accelerating growth, maybe you could remind us of the strategy here? It feels that later in the economic cycle to have an acceleration of growth, but obviously things are going well globally.
Aengus Kelly: Kevin, this growth is coming from the order book that was put in place five or six years ago. So it was contracted back then at very attractive prices. We believe it's extremely attractive growth for the business. It's focused on the most desirable variants of the new technology aircraft that's available and we see extremely strong demand for these fuel-efficient airplanes in the world today.
Kevin Crissey: Terrific. Thank you. And if we could talk about, you talk about the airlines with utilization and high utilization of their aircraft and high load factors being an impetus for further aircraft orders. In an environment with higher fuel prices, I'm just not sure why that wouldn't lead to naturally higher fares as opposed to higher aircraft orders. Can you talk about that trade-off/
Aengus Kelly: There is huge growth in fact like around the world at the moment and what we're seeing is congestion in airports and how airlines are dealing with that, [because they just have limited number of parts] [ph], is they are densifying their aircraft. So if you look at the density on an airplane that has occurred over the last 10 years, you will see an increasing density of seats on aircraft every year. Now that's coming to a peak. There's only so many seats you can get on the fixed piece of real estate that is the aircraft. So what we are seeing is that because of that and we do see airlines now say, look, I need to bring in more assets or bigger assets, and that's what's really driven I would say the surge in demand for the A321 as an example. If you go back 10 years, the real heart of the market was the 737-800, A320 airplane. Today the A321 side airplane is taking half the market.
Kevin Crissey: Terrific. Thank you so much for the time.
Operator: We will now take our next question from Kristine Liwag of Bank of America. Please go ahead. Your line is open.
Kristine Liwag: We have seen your restricted cash balance tick down in the past few quarters. Also we've seen a tick-down in your lessee deposit liability. If I look at either of these metrics as a percent of flight equipment, there has also been a decline from 4Q 2017 to 1Q 2018 to this quarter. So first, are these relevant metrics to measure cash deposits from your customers? And second, has there been a change in your cash deposit requirements?
Peter Juhas: Kristine, no, there has been no change in the requirements that we do, and I mean these can bounce around. The restricted cash, it's really due to some of the facilities that we have got, so those have been coming down. So it's really, I'd say that's not a very good metric to look at from that standpoint. It's really driven by some of our secured facilities for example. So when we repay a secured facility, then that frees up some of that restricted cash, so the balance goes down.
Kristine Liwag: And the lessee deposit liability?
Peter Juhas: No, there has been no change in our policy. That's just – so there I wouldn't – there is really nothing that you can take away from that, I don't think.
Aengus Kelly: The other thing that happens there, Kristine, is you have some lessees, if they can bring in an LC from a highly rated bank, of course we'll facilitate that as well and you do see a little bit of that. As the credit of airlines has improved a bit, they are able to access lines of credit, but not [indiscernible].
Kristine Liwag: Thank you for the color.
Operator: We can now take our next question from Gary Liebowitz of Wells Fargo Securities. Please go ahead.
Gary Liebowitz: Pete, also like operating cash flow came in somewhat below recent quarters. Anything unusual in Q2 worth calling out?
Peter Juhas: No, it is a little lower for the first half of this year, Gary, right, and that was primarily due to the Air Berlin and Monarch transitions that we had. So, really two things associated with that, as I've mentioned on a few calls now. The Air Berlin and Monarch transitions took a while to happen, and as a result of that, when the aircraft are not – haven't been delivered to the new lessee, you are not getting rent for that. So obviously that's lower. And then also the expenses associated with those transitions, we paid them really over the first half of this year. So, that was the biggest driver of that. There are a few other smaller things but that was really the main one. And going forward, we expect it to be around $3.2 billion per year. So it should go up again.
Gary Liebowitz: Okay, thanks. And maybe one for Gus, Gus, is it getting harder to find faster aircraft reconfigurations, are we seeing transition times between lessees increase as a result?
Aengus Kelly: Gary, there certainly was that for the last eight months of the year because they were two good-sized bankruptcies. Air Berlin was a big airline. And when all those aircraft came out in addition to the Monarch airplanes, there was just a big strain put on MRO capacity on a global basis. It just wasn't ready for that number of airplanes to hit it. So that did slow down the transitions for sure. Now that's pretty much cleared and those airplanes are out of the system. So I would expect that we should resume to normal service in the fourth quarter of this year onwards.
Gary Liebowitz: Thank you very much.
Operator: It appears there are no further questions at this time. I would like to turn the conference back to our host for any closing remarks.
Aengus Kelly: Thank you, operator, and thank you all for joining us for the call today and we look forward to talking to you again in three months' time. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.